Operator: Good morning and welcome to the Provident Financial Services, Inc. Third Quarter Earnings Call.  Please note this event is being recorded. I would now like to turn the conference over to Adriano Duarte, Investor Relations Officer. Please go ahead.
Adriano Duarte: Thank you, Anthony. Good morning, everyone and thank you for joining us for our third quarter earnings call. Today’s presenters are Chairman and CEO, Chris Martin; President and Chief Operating Officer, Tony Labozzetta; and Senior Executive Vice President and Chief Financial Officer, Tom Lyons. Before beginning their review of our financial results, we ask that you please note of our standard caution as to any forward-looking statements that maybe made during the course of today’s call. Our full disclaimer is contained in this morning’s earnings release, which has been posted to the Investor Relations page on our website, provident.bank. Now, it’s my pleasure to introduce Chris Martin, who will offer his perspective on the third quarter. Chris?
Chris Martin: Thank you, AD. Provident’s third quarter results were strong and we believe the business climate is promising as we look into Q4. Earnings of $0.49 in the quarter exceeded last year’s results by 32% and performance was augmented by several factors, including an improving economy as it continues to decline out of COVID restraints, better credit metrics, and the achievement of earnings acceleration from the acquisition of SB One. The quarter was marked by growth in net interest income and a strong return on average assets of 1.11% and return on average tangible equity of 12.04%. Based on their confidence in our earnings outlook, our Board approved an increase in our quarterly cash dividend to $0.24 per share, representing an increase of 4.3%. And during the quarter, we also repurchased approximately 630,000 shares of our common stock at an average price of $22.04 per share. Our capital position is strong and comfortably exceeds well capitalized levels. As Tony and Tom will detail in their remarks, we are dealing with excess liquidity, not unlike many other financial institutions. We have diligently deployed a portion of that liquidity into securities, but obviously, loan growth would be our preferred investment. We anticipate the Fed will commence tapering their quantitative easing purchases in the fourth quarter, which we hope will result in a steepening of the yields curve. This always takes a while to make an impact, but would signal positive economic outlook and a moderate amount of inflation would be positive for the bank. With a fairly neutral interest rate, risk position, excess liquidity and stable low cost deposit funding, we continue to be well positioned to benefit from a rise in interest rates, while remaining well protected if rates remain low. The focal point for Provident was our loan growth ex-PPP, which contributed to increased net interest income and our strong quarter end loan pipeline, which reflects customer confidence and provides positive momentum for respectable growth going into the fourth quarter. In terms of pricing, the weighted average rate on our loan pipeline has increased, reflecting movement in the treasury curve. The market remains aggressive and our lenders face competition on rates from banks and on structure from non-banks. In spite of the challenging environment, we win deals because of our relentless focus on delivering a best-in-class customer experience. Our core deposit growth continues to be strong in both the consumer and commercial areas and our cost of deposit remains one of the best in our markets. And we are also seeing growth in the wealth management and insurance businesses and we would expect that organic growth to continue. Asset quality improved and charge-offs were negligible as the economy continues to improve. And core operating costs are well controlled as reflected in our adjusted non-interest expense to average asset ratio of 1.85% and an efficiency ratio of 54.5% for the quarter. I remain highly enthusiastic about the prospects within our markets and the drive and motivation of our banking teams will continue to spur growth and enable us to continue to deliver long-term shareholder value. With that, I will ask Tony to add more context. Tony?
Tony Labozzetta: Thanks, Chris. Chris has given some highlights of our strong third quarter performance, and Tom will give further details later in the presentation. I would like to share with you thoughts about our performance of our key lines of business and areas of focus. Based on certain trends that we are observing, we believe the economic outlook for the fourth quarter and leading into 2022 looks promising. This supports improved growth and continued solid profitability for the remainder of the calendar year. Our commercial lending group continues to demonstrate strong productivity. In the third quarter, we closed $514 million of new loans, an increase of 29% from the prior quarter. While prepayments adjusted for PPP are down from the prior quarter, they remain higher than we desire. Of note, nearly half of our commercial loan prepayments were driven by the sale of the underlying business or asset. In addition, our line of credit utilization percentage remains roughly 28% compared to the historical average of approximately 40%, which equates to about $190 million of potential additional outstanding loan balances. Nevertheless, our production exceeded the pressures of the current operating environment, and as such, we grew our commercial loan portfolio, excluding PPP, at an annualized rate of 9.4%. Notwithstanding our significant loan production and the fierce competition, at quarter end, our pipeline remains robust at approximately $1.6 billion. The pull-through adjusted pipeline, including loans pending closing, is approximately $1 billion. Of note, our expected pipeline rate increased 12 basis points from the last quarter. We project good pull-through, and if prepayments are stable, we should meet or exceed our loan growth expectations for the remainder of the year. We continue to experience good growth in our core deposits, particularly non-interest-bearing demand, which grew at an annualized rate of 12% and presently comprise 24% of our total deposits. Our total cost of deposits for the quarter declined 3 basis points to 23 basis points and is amongst the best in our peer group. While we are in a rate and liquidity cycle that has driven margins lower throughout the industry, our growth and low-cost deposit franchise continue to drive value, which is demonstrated by our continued increase in net interest income. We continued to grow fee revenue, largely through Beacon Trust and SB One insurance. Adjusting for nonrecurring items related to the SB One merger, SB One Insurance increased its operating profit 10% from the same quarter last year, driven largely by a strong retention ratio of 96.4%. Beacon Trust also had good performance, with assets under management increasing approximately 17% to about $4 billion, and revenue increasing 16% over the same quarter last year. As I have mentioned in the past, both Beacon Trust and SB One insurance are value-add for our clients and the bank. We are seeing increased opportunities and referrals among all of our lines of business, which make our growth prospects more exciting. Looking forward, our focus is to enhance our asset mix and deploy more of our excess liquidity, which should improve our margin, and more importantly, grow net interest income. Our fee-based businesses are important to us, and we want to accelerate their growth and strengthen the synergies with the bank. Lastly, we have a number of initiatives that will modernize certain business processes that are aimed at reducing friction and improving the digital journey for our employees and customers. As we accomplish our goals, we will increase our franchise value and improve our total return to our shareholders. With that, I’ll turn the call over to Tom for his comments on our financial performance. Tom?
Tom Lyons: Thank you, Tony, and good morning, everyone. Our net income for the quarter was $37.3 million or $0.49 per diluted share compared with $44.8 million or $0.58 per diluted share for the trailing quarter. Earnings for the current quarter included $2 million of provisions for credit losses on loans and off-balance sheet credit exposures, while the trailing quarter benefited from $8.7 million of net negative provisions. Pretax pre-provision earnings were a quarterly record $52.1 million or an annualized 1.55% of average assets. Current period earnings featured record quarterly revenue, including record net interest income and non-interest income. While we did experience modest net interest margin compression as a result of ongoing elevated liquidity, earnings on the $166 million increase in average interest-earning assets partially offset the impact of declines in yields and lower PPP income. Income recognized from PPP loan forgiveness fell $402,000 versus the trailing quarter to $2.5 million, and remaining PPP – deferred PPP fees totaled $3.2 million at September 30. Meanwhile, funding costs fell as average deposits increased and average borrowings declined. Average non-interest-bearing deposits increased $74 million versus the trailing quarter and the total cost of deposits declined 3 basis points to just 23 basis points. Pull-through adjusted loan pipeline at September 30 was consistent with the trailing quarter at $1.1 billion, and the pipeline rate increased 12 basis points since last quarter to 3.4%. Excluding PPP loans, period-end loan totals increased $153 million or an annualized 6.4% versus June 30. Loan growth occurred primarily in the CRE category. Our provision for credit losses on loans was $1 million for the current quarter compared with the benefit of $10.7 million in the trailing quarter. Asset quality metrics, including nonperforming loan levels, early stage and total delinquencies criticized and classified loans and all related ratios improved versus the trailing quarter. We had net charge-offs of $1.9 million or an annualized 8 basis points of average loans this quarter. Nonperforming assets decreased to 51 basis points of total assets from 62 basis points at June 30. Excluding PPP loans, the allowance represented 0.85% of loans compared with 0.88% in the trailing quarter. Non-interest income increased to $23.4 million, helped by income recognized from a $3.4 million reduction in contingent consideration related to the earn-out provisions of the 2019 purchase of registered investment adviser, Tirschwell & Loewy. We became subject to the interchange fee limitations of the Durbin amendment this quarter, which reduced revenue by $1.1 million compared with the trailing quarter. Excluding provisions for credit losses on commitments to extend credit and merger-related and COVID expenses in 2020, operating expenses were an annualized 1.85% of average assets for the current quarter compared with 1.84% in the trailing quarter, and 1.92% for the third quarter of 2020. The efficiency ratio was 54.51% for the third quarter of 2021 compared with 54.12% in the trailing quarter and 56.2% for the third quarter of 2020. Our effective tax rate was 25.7% versus 25.4% for the trailing quarter, and we are currently projecting an effective tax rate of approximately 25% for the remainder of 2021. That concludes our prepared remarks. We’d be happy to respond to questions.
Operator:  Our first question comes from Mark Fitzgibbon with Piper Sandler. You may go ahead.
Mark Fitzgibbon: Hey, guys. Good morning.
Chris Martin: Good morning.
Tony Labozzetta: Good morning.
Mark Fitzgibbon: A couple of questions around the margin, I guess, Tom, it looks like you have some room for CD and borrowing repricing down. What does the maturity schedule look like on those buckets?
Tom Lyons: Mark, on the deposit side, over the next 12 months, we have about $622 million maturing. The expected pickup in rate is about 29 basis points. We also have $197 million worth of borrowings coming due over the next 12 months, and the pickup there is about 116 basis points. So again, all-in, about $820 million worth of funding that’s going to reprice over the next 12 months, with about a 50 basis point pick up, should be about 3 points on the margin.
Mark Fitzgibbon: Okay, great. And then, am I thinking about it the right way that you would recognize most of the remaining PPP income in 4Q, that $3.2 million and then after which the margin kind of drops down into sort of low mid $290 million range?
Tom Lyons: Yes, that’s our expectation. The core margin this quarter was $287 million. That was down from $290 million in June. So we’re in 3 basis points on a core basis, excluding PPP. But yes, we think the $3.2 million will largely be recognized in Q4 with a little bit of a trail into the first quarter of ‘22.
Mark Fitzgibbon: Okay. And then I guess I was curious, I saw the charge – or the contingent consideration that you took back from Tirschwell & Loewy. What hurdle didn’t they hit that caused that to be triggered?
Chris Martin: Revenue retention. So there were two components to the earn-out provisions and one of them was retention of customers off of the base year, while market performance, they are in the revenue run rate piece, the revenue retention piece doesn’t consider market performance in the intervening period, and they fell short on that. So I think it says we structured the deal appropriately because we still got the returns we were looking for and paid the price that was appropriate for the business that we acquired.
Mark Fitzgibbon: Okay. And then last question, I guess, to Chris and Tony. It sounds like you guys are really upbeat on the prospects for your business. I guess I’m curious, what part of your business are you most excited about these days, or maybe if you don’t want to answer that, maybe you could share with us sort of which business you think has the greatest growth potential? Thank you.
Tony Labozzetta: No, Sure. I mean you heard it both in Chris’ tenor and mine. I think we’re excited about all of them, but with varying degrees. First, I think we kind of alluded to the commercial bank, how the rate we’re replenishing the pipeline, the level of closings. Our closings are over 70% higher than they were in the first quarter, which is what we’ve been pointing to. We’re seeing the number of asset sales diminishing. So the expectation, although you can’t really fully predict it is that prepayments will continue to slow. Our production will continue to increase and those two variables will show some good growth in that book. We did skinny down the consumer side, but you’re trying to change the asset mix. So the asset mix shift and deploying the excess liquidity is going to have a wonderful effect on our margin. But I will tell you, the other dynamic that we’re seeing is the interplay between all of our businesses, as I mentioned, the insurance company is working regularly with the commercial bank. We’re seeing more referrals go to Beacon than we have. So that’s exciting because the businesses are doing this with willingness. There is no force by me or Chris. I mean, it’s really good to watch and play. So I’m expecting all the non-fee-based businesses to continue to grow, and our commercial book to continue to expand. So that should bode well for net interest income, the margin and non-interest.
Mark Fitzgibbon: Thank you.
Operator: Our next question comes from Michael Perito with KBW. You may go ahead.
Michael Perito: Hi, good morning, guys. Thanks for taking my question.
Chris Martin: Good morning.
Tony Labozzetta: Good morning.
Michael Perito: I wanted to follow-up on the NIM quickly. So you guys were at the $287 million core and you have the 3 basis point pickup from the funding that gets you back up into that $290 million range? And then that part is pretty clear. I guess my follow-up question was more along the lines of the pipeline of the $1.6 billion loan pipeline. Just curious what the pricing – the incremental pricing has looked like as we move forward here? And how that compares to some of the loans that will be replacing on the back book?
Chris Martin: Well, I mean, we did mention that the pipeline rate is higher than – but it’s still lower than our current book rate. So as I mentioned, we’re in the cycle where, not only the liquidity is pushing the margin down, but the low interest rate environment. The way to make that up and preserve the margin is to have – make sure you have the growth that you need, and change your asset mix by deploying the excess liquidity and more from securities and into loans.
Tom Lyons: Yes. I think that’s where we see us stabilizing and then hopefully improving margin over a little bit of time as we remix the balance sheet and see more loan growth absorb some of the current liquidity that was deployed partially, as Chris noted, into the investment securities portfolio, but still have a fair amount of work to do in terms of cash and short-term assets on the balance sheet.
Michael Perito: Helpful. Makes sense. And then do you guys mind just walking us through how you think the bank’s balance sheet is positioned for rates today? I mean obviously, the funding is – has improved and the loan pipeline looks good. And to the extent you guys can remix that should help the NIM. But if we start to see short-term rates moving at some point next year, do you guys have any kind of expectation around how that might impact your NII performance?
Tom Lyons: We modeled fairly neutral, slightly asset sensitive. I think we are a little bit conservative in our deposit beta assumptions, though. So, I think we are more asset-sensitive than we typically had in disclosures. We have an ongoing deposit study now that try and support some of those assumptions a little bit – or get a little more precise on some of those assumptions. So I mean, there is a fair amount, I think it’s $2.6 billion in floating rate loans. A good chunk of that is probably through LIBOR. So, if we see a rise in the short end, we should see benefit fairly immediately on a good chunk of that. And again, I think that the funding base is very stable and low cost. So, I don’t see us re-pricing up in any dramatic fashion. That’s also helped by the amount of liquidity in the marketplace. There is really not a lot of competition on rate these days.
Michael Perito: Got it. Helpful. And then just last for me and then I will step back. Just on the expense line moving forward, kind of a lot going on out there, particularly on the wage side and on personnel turnover. I am just curious if maybe you could provide an update on kind of how you see that – those dynamics impacting your business, but then also maybe just some near-term commentary on where we think kind of the core operating expense could trend given some of the inflationary pressures out there? Thanks.
Tom Lyons: I will comment on the near-term first. We saw expenses tick up a little bit in this quarter, largely related to an increase in incentive compensation accruals. I think we are going to see that maintain going into the final quarter of the year at about the same level. So, call it $61 million to $62 million, excluding the provisions for commitments on credit – for losses on commitments. I think that’s pretty much where we stabilize.
Chris Martin: I think the part of the question was we have seen the labor force shift. I think our dynamic here is, we see some pretty good stability and also attracting good talent has not been an issue for us of late. So, I wouldn’t suggest that we have a huge vacancy factor in our numbers.
Michael Perito: Good to hear.
Chris Martin: Yes, this is Chris. Just to add a little bit. It’s also that when you have good quality people doing good things, they are sometimes wood over by others. And so we deal with that as a balancing act all the time, such as you get good people coming in on the other hand, some people move on to a different journey. So, that’s something else when you have quality, people like to grab that when they can.
Michael Perito: Got it. It makes sense. Thank you, guys. I appreciate it.
Operator: Our next question comes from Steven Duong with RBC Capital Markets. You may go ahead.
Steven Duong: Hi, good morning guys. I guess maybe we could just get back to the interest sensitivity. Your beta assumptions, you said they were conservative, Tom. Can you share with us what are your beta assumptions and if there was – if there is a lag in it at all?
Tom Lyons: Yes. On the interest-bearing deposits, it’s close to 50% at this point, inclusive of the noninterest-bearing deposits about 36%. But if I look back at the last rising cycle, I think the total deposit cost was up about 19%. Interest-bearing was about 24%. So again, I think there is some conservatism baked into those current assumptions.
Steven Duong: Well, you are already 36% and 50%. Okay. And were they lagged at all, or was that on the first 25 basis points, you are applying the 36% and the 50%?
Tom Lyons: Don’t think they are lagged, but the rate environment has ramped up over the period that they are applied to if you look at our company disclosures.
Steven Duong: Yes. So, I guess the way I am thinking about it is when I look back at your first quarter margin, you were at $320 million. The second quarter 2Q ‘20, you dropped to $294 million because of the rate cuts. And so I guess, I am just thinking like, why wouldn’t this process reverse, which would make you fairly asset – yes, fairly asset sensitive, when rates rise, and it doesn’t seem to be reflected in your rate sensitivity tables in your 10-Q? And so it may just be because of your conservatism on your beta assumptions. Is that a fair assessment?
Tom Lyons: I think that’s accurate, Steve.
Steven Duong: Okay, great. And then I guess, just on the loan growth, the commercial mortgage really rebounded fairly well. Can you just give us a sense – I know you have mentioned about how much prepays, half of the prepays were driven by underlying business sales of some sort. How much – number wise, like how much do you guys originate and how much were prepaid this quarter versus last quarter?
Tony Labozzetta: So, I can tell you, we originated about $514 million of loans, not all funded. Of course, some of it needs to be funded. I think Tom can give you the funded number. But I would say our net growth was roughly $190 million to $200 million, is that a fair assessment. So, you are looking at between amortization…
Tom Lyons: $153 million net of PPP.
Tony Labozzetta: $153 million net of PPP. So, you are looking at still a sizable prepayment number that’s there. And it’s – as I mentioned, it’s roughly 50%. I don’t know if that gave you the color, Steven, or do you want me to drill deeper into…
Tom Lyons: I can offer a couple more. In terms of outstanding balances, I know Tony spoke to production, which isn’t necessarily a fund immediately, but total originations including renewals and new money on modifications were $574 million this quarter. That’s up from $550 million last quarter. And the payoffs including the PPP payoffs, dropped from $620 million last quarter to $422 million.
Steven Duong: Okay, got it. And so – and I guess, historically, so right now, you are at like a 50% payoff rate, let’s say. Historically, where is it normally?
Tom Lyons: Q3 2020 was $277 million.
Steven Duong: Okay. Well. Okay. That’s very helpful. And then, I guess, maybe just last one for me. Just on the insurance business. Tony, can you give us a sense of like how the insurance business performed this quarter? Did it come into your expectations? And what are you expecting in the fourth quarter?
Tony Labozzetta: So, as I have mentioned in the past, the insurance business has its lowest quarters. It’s a very seasonal business. First quarter is predominantly the strongest, followed by the second. The third quarter and the fourth quarter tend to be more normalized. I think George did a better job – George Lista in the insurance company did a better job with retention this quarter. They had productivity, but we don’t see a lot of productivity in the third quarter in terms of new policies being written, etcetera. So, the retention rate was high. And if I may explain it in 30 seconds, the retention rate is the rate at which we keep the business that we wrote in prior years and it was 96.4%. That is extraordinarily high. If you are in the 90s, you are a high performer. And we usually target around 92%. When we keep the business through retention, we make more money in the subsequent year. And so I would say this has been an on pace quarter for George, not – for George Lista and the insurance company. But the fourth quarter, we expect them to certainly hit his budget and his team. And things are looking pretty good as we set up for the coming year relative to loss rates and things like that. So, I don’t want to be predictive, but I m confident on how we go into the first quarter and knock on wood.
Steven Duong: Got it. I appreciate you guys taking my questions. Thank you.
Tony Labozzetta: Thank you.
Operator: Our next question comes from Russell Gunther with D.A. Davidson. You may go ahead.
Russell Gunther: Hi, good morning guys.
Chris Martin: Good morning.
Tony Labozzetta: Good morning.
Russell Gunther: I am going to have a follow-up. Yes. Chris, you mentioned the securities build in the quarter and get your guys’ thoughts as to how you planned to manage the investment portfolio going forward, both as it relates to the overall size of the balance sheet and what your portfolio is?
Tom Lyons: There is some additional as we talk about additional liquidity to be deployed. First choice would be to use that to fund loan growth, obviously, but we have significant cash flows coming off the securities portfolio, so we can remix that into loans over time. The opportunity for us is too great to just wait and cash. So, we are going ahead and investing in those securities primarily pass-through mortgage-backed securities, yields are around 150-ish kind of levels at this point.
Russell Gunther: That’s great, Tom. Thank you. And then just circling back recent to the loan growth conversation. You guys mentioned the pipelines and if things pull through, you would meet or exceed expectations. Can you just remind us of what those are? Where do you kind of set your hurdle from an overall organic growth perspective ex-PPP?
Tony Labozzetta: So, on our commercial loan growth, we are expecting roughly the 6% target that we aim at. We are feeling really good about the pipeline. That’s why I mentioned in my notes that we should meet or exceed expectation, all depending on what happens with the prepays. But we are feeling really good about the pipeline and the activity within it.
Russell Gunther: Okay, great. And then just last one for me. We have had some market dislocation over the past – this year, larger players taking out smaller players. I am just curious as to how you are approaching the M&A disruption in your footprint, both from a market share gain perspective or attempting to bring over some personnel?
Chris Martin: This is Chris. I think we look at that as always – it’s advantageous to us in the short run because the distraction of putting companies together and entrants of new players and/or other people. We wish them well as they go forward. But the fact is I think it provides us with an opportunity to pick up some of that where there is a miss and/or they are focused on other things. We always envision that, that timeframe is limited. After a couple of years, they get their quasi act together and come back full force. So, I think that’s helped. I think the other side of that, when we look at our competition of smaller institutions are trying to really put a lot of volume up, sometimes at levels and things that we wouldn’t do and that adds to the competitive factors and pricing issues that we deal with. But for the most part, I think there is a lot going on in our market. It will be held off a little bit by Fed policy and waiting for those deals to be approved. So, we are kind of in a wait and hold, but we are – we think there is going to be an opportunity. On the other hand, we have participated with some of those players in the past, and we will try to develop relationships with their ultimate successor.
Russell Gunther: Understood. Okay. Thank you all for taking my questions.
Chris Martin: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Chris Martin for any closing remarks.
Chris Martin: We thank you for your time today and appreciate your continued confidence in PFS. We hope you have a great weekend, and happy Halloween.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.